Operator:
Martin Bouygues: Excellent. Good morning, ladies and gentlemen. Thank you for being here. Without further ado, let us give you a presentation of our 2018 Results. It's always pleasant the present the results when they are good. So some key figures. Of course, the group's profitability improved in Q4, which made it possible for our current operating profit to come out ahead at year's end rather, we -- while we expected it to come down slightly or at least to be stable. Our current operating profit, even restated with the 49% of -- for the capital gains on the 49% sale of Axione to Mirova is still up. And this was a good year in all our business areas in terms of sales, and the Board of Directors will be proposing a dividend of €1.70 per share, stable compared with 2017. Let's look at the key figures for 2018. First of all, sales. €36 billion, up 8% compared to 2017 mainly due to acquisitions conducted in 2018. If you correct for these acquisitions and on the constant exchange rate basis, we turned up with a 3% improvement in revenue. Current operating profit stands at €1.511 billion compared with €1.406 billion in 2017, thanks to Bouygues Telecom's outstanding performance. This includes a €106 million capital gains resulting from the sales of the 49% of our Axione stake. Our current profit in 2017 include the €28 million in capital gains with the 50% -- with the sale of 50% of Nextdoor. So if you correct for these 2 one-off items, current operating profit for the group was up €27 million over the year. Operating performance for all three business areas in Q4 made it possible to offset some of the challenges we made in three projects at Bouygues Energies & Services and indeed, in specialty activities in Colas in France that we encountered in Q3. Operating profit includes €250 million related to capital gains from the sales of mobile sites and FTTH infrastructure at Bouygues Telecom, plus €16 million for the bonus - the one-off bonus granted to our employees, 34,000 of them. This was included, recognized in the 2018 accounts even though they were only paid out in 2019. Net profit attributable to the group stands at €1.311 billion, up €229 million for the year. As a whole, if you, again, correct for one-off items, it was still up €139 million. And so the group's performance over 2018 was up thanks to the significant improvement in current operating profit in all 3 business areas in Q4. Now as you can see on this slide, current operating profit in Q4 was up €280 million year-on-year. If you correct that for the capital gains of the 49% of Axione, it's still up €112 million or 24% and that -- again, that improvement was recognized throughout the group. Regarding the financial position, it is sound, and net debt at end December 2018 stood at €3.7 billion, better than expected. This €1.7 billion increase over the year is all to do with acquisitions conducted over the year. We still have about €10 billion in cash available, so we have a very satisfactory cash position. By way of conclusion, let me just say that the Board of Directors will be proposing a dividend of €1.70 per share for the year 2018. This policy consists in increasing dividend regularly and reasonably or at least, maintain that dividend even in challenging times. We have looked at the yield of the Bouygues share in 2018. It stands at 5.4% and so it is one of the most profitable conquerant [ph] stocks. And total shareholder return stands at 2% over 2 years and 44% for 5 years, which is right in the average of the conquerant . Now Olivier Roussat will give you a review of the operational performance.
Olivier Roussat: Good morning, everyone. And so let's start with the construction business and the backlog. At end December 2018, that stood at a record high, €33.1 billion, up 5% over 1 year. In fact, 7% on the constant exchange rate basis that includes €1.8 billion in the order books of Miller McAsphalt, Alpiq and AW Edwards, but even restated of these three actors, it's still up 3%. The share of Bouygues Construction and Colas order books internationally stands at 61% compared to 57% a year ago. Regarding the order book in France, the backlog in France at end December 2018 was stable at €14.4 billion. Bouygues Construction was slightly down not including Axione. On this slide, you have a picture of a contract we won in Q4. The development of the Ivry Confluences neighborhood worth €88 million in the context where the residential market is slightly down and some of the property projects were passed on from 2018 to 2019, we end up with an order book for Bouygues Immobilier down 8% year-on-year. Regarding Colas' backlog, that was up 8% mostly because of the road activities but also new orders in the railway business. In Q4, Colas won a contract for the restoration of the Runway 3 at Orly, €52 million. Looking at the market abroad. The group is in a good position. We have an order book worth €18.8 billion at end December, up 13% over the year, 5% on a constant exchange rate and not including Miller McAsphalt, Alpiq and AW Edwards. That includes significant orders for Q4, such as the broadening of a motorway in Istria, Croatia, €167 million. In Bouygues Construction, we have the construction -- that was Bouygues Construction, a bigger part, and then we built a tramway in Liege [ph] with Colas worth €266 million. Looking at construction activities. In Q4 2018, current operating profit for construction was up €145 million over the year. That include €106 million in capital gains due to the partial disposal of Axione. But if you correct for that, it was still up €39 million. Now that improvement for Bouygues construction reflects a good performance in public works but also positive contribution of Bouygues Energies & Services. And for Colas, we have improved profitability on the road business in France. Our operating -- current operating profit in Bouygues Immobilier is down, but that's because there was 1 project -- 1 property project that should have taken place in Q4 2018 and in fact, was postponed to Q1 2019. Let's look at the key figures for 2018. Revenue for the Construction business stood at €28 billion, up 8% year-on-year. That is due, of course, to new acquisitions, but on an constant scope and exchange rate basis, it was still up 3%. Current operating profit stood at €915 million, so that's down €28 million. Now if you correct for the Nextdoor effect in 2017 and the Axione effect in 2018, we'd be down €106 million, and that's because we encountered difficulties on three major sites in October in energy and service but also some challenges we encountered in specialty businesses in Colas and Colas high. That was in Q3 2018. So current operating up, as expected, is down 60 basis points, but that doesn't challenge our views about long and medium term outlook as we explained on our Capital Markets Day and on this slide, we'll tell you just why we are confident in the outlook for the Construction business in the long and medium term. There are three positive trends underlying that belief. Number one, there are 4 major trends: significant urbanization; climate change with many consequences, environmental consequences; but also digital transformation; new uses of the technology. In many mature markets, we have significant stimulus plans that have been introduced to bring about or to build new infrastructure. Some of these plans were postponed somewhat, but they're still -- we're still looking at significant amounts even if they have been revised downwards. And then there's a real need for new infrastructure to maintain existing infrastructure. Some of the incidents that we found in the winter show that it is very much necessary to revisit some of the infrastructure, so we're looking at a longer, more complex, more sophisticated projects. You have sophisticated tunnels and bridges, high buildings, so you need all -- you need to propose or offer integrated offers for big buildings, smart cities or eco-neighborhoods. And then you have a high need for maintenance for infrastructure and buildings. So that means that requires more expertise, which means there are higher entry barriers. And because these are long term projects, there's less cyclicality, so that means there's less competition, and that gives us also more visibility, and this also means that over the long term, our profit margins should be sustainable. Now in this context, our own position as a developer, as a builder and indeed, as an operator provides us with significant competitive advantages. We're in a position to complete sophisticated projects, and we are leaders in tunnel building worldwide. We have specific know-how in sustainable construction, we have positive energy buildings, we have eco-neighborhoods, we are the ones who invented Wattway, the solar roads, smart grades, building renovation and the reuse of materials as part of the circular economy. We can do all of that. We can also offer integrated comprehensive solutions to our customers at every step of the value chain. We have a significant know-how to run a huge ecosystem, and we've seen with Colas when we work together with many start-ups as part of the project that we won in -- at end 2018. So that position means that we can keep a direct relationship with a customer, which is a significant item at a time when the construction industry is facing significant disintermediation. Now our own position means that we are rather protected from that. In this positive context, this is a time for refocusing and adapting. We propose to develop our more value-creating activities as smart cities, eco-neighborhoods but -- and smart roads. In 2019, there were three significant acquisitions: Miller McAsphalt for Colas; Alpiq for Bouygues Construction; and the cables for Colas; and then AW Edwards for Bouygues Construction. And in that year, there were a number of managerial change. We have a new team running Bouygues Immobilier with Pascal Minault, and we have a new Managing Director for Bouygues Energies & Services. He arrived earlier this year. He is -- he's got a significant experience in that field, and he will be running that business in France. In 2019, we'll be, as I said, refocusing, adapting our business to improve profitability in the construction business, so Colas is repositioning Colas high in France, diversifying the customer base, and also in the Grand Paris contract, we're not just facing SNCF with other competitors, and we are refocusing our activities. We have sold part of our freight activities, and we've also sold off some nonstrategic items such as Smac. But of course, we want to be in a position to develop our business where we have capital agreement with Mirova that enables us to be present in France on that market. TF1. We've had the results presented last couple of weeks ago. Revenue was up -- stood at -- by -- I beg your pardon, stood at €2.3 billion, up 7%, thanks to the good performance of our advertising revenue in all 5 free-to-air channels. We have, of course, premium agreements with all operators, telco operators and Canal+. And also TF1 was reinforced in its production and digital businesses. Current operating profit was up €11 million over 1 year, which is quite remarkable in a year where you have a major sporting event such as the World Cup with the Football Cup. And that means that TF1 was able to keep its programming costs under control. Operating profit. The current operating profit is stable at 8.6%, but if you correct that for the World Cup, it would be as high as 11.7%. Group operating profit stood at €174 million. Having recognized the €22 million in nonrecurring expenses, which is depreciation of the audiovisual rights that were reassessed as part of the acquisition of Newen Studios. And for 2019, the guidance for the current operating profit is double-digit again. TF1 has also confirmed its strategy on its core business, which is well positioned because it is in a unique position in Europe because, of course, of a very broad audience but a very rich content in all areas, news, drama, sports, movies, and it is also in a good position on that market offering significant growth opportunities. If you look at the per capital expense, France is below Germany, England and -- so we have more potential than other European countries. In France -- and of course, we have two advertising agencies, TF1 and UNIFY, and thanks to that, we can broaden our revenue sources -- advertising revenue sources. TF1 is also -- and next to the flagship, you have 2 boosters. You have this three whole trend we're in [ph] if I can use that comparison. We, of course, are boosting our production and distribution activity, especially with Newen because we have more visibility, longer cycles, and we have our new digital business that is developing, and thanks to that, we can offer an additional offer for websurfers. And that means there's also an offer for advertisers who can now gain new grounds in the digital universe, which is enjoying significant growth. Moving on to Bouygues Telecom now. In 2018, our commercial momentum continued with both mobile and fixed lines. In the mobile business, we gained an additional 2 million customers in 2018, including 587,000 in Q4, and end December 2018. The total customers, we had as many as 16.4 million customers for mobile. If you move machine to machine, we -- the contract, the number of contract customers were 10.9 million customers with 573,000 new customers in 2018, including 121,000 in Q4. Regarding fixed telephony. Bouygues Telecom sped up its gains of new customers in FTTH with an additional 102,000 customers in Q4. That's the best quarter ever since fiber was launched. The penetration rate of FTTH, the Orange curve, doubled in one year. We have as many as 569,000 customers, FTTH customers at end 2018. Fixed customers, we have 3.7 million customers at end December 2018, up 235,000 year-on-year, including 73 new customers in Q4. Of course, we're trying to reach out to the largest possible number of customers with the high-speed. We have secured 30.6 million new premises. Secure means that the contracts that we have mean that we can develop and market these premises once they are connected. We're looking here at 10.6 additional premises compared with last year. We are looking at 7.2 million marketed premises over the year, so 3.2 million more than last year, and in Q4 2018, Bouygues Telecom secured 100% of the access to the high density area thanks to an agreement -- a partnership agreement with CityFast concerning as many as 3.4 million premises. Now that is -- and CityFast is held jointly by Mirova and Bouygues Construction. We have an agreement with them. So the objective is 12 million premises marketed by end 2019 and 20 million by 2022. We can confirm that objective. The next slide is a bit complicated, but we've got this because some -- there was some misinformation about the way this business works. Maybe they misunderstood, maybe they were doing it deliberately, but this is how the very dense area is addressed. This is different from our competitors. There's two approaches there. 50% of the business, we have agreements with SFR, mostly SFR, and some agreements with Orange. There's core investment and that's fixed cost. This is CapEx, but it's a fixed cost, meaning that the more customers we have, the lower the unit cost. The other part, 50% of the very dense area, that's the agreement with CityFast, and that means we can access the network for as long as 30 years. This is an annual fixed cost, but that's passed as OpEx. It's fixed OpEx, again, meaning if you look -- if we have more customers, well, again the unit cost comes down again. So in both cases, both in the very dense area unlike what our competitors have been saying, we're looking at fixed cost both in -- well, some on OpEx and the other half in CapEx, but in both cases, the more customers we have, the lower the unit cost. But that's very much in line with our competitors. But back to the financial performance. EBITDA was up €171 million over the -- 1 year at €1.268 billion. The EBITDA margin almost 30%, up 2.8 percentage points, and this is thanks to the service revenue, up 5% and also we were able to keep our cost structure under control. Current operating profit stood at €431 million, up €111 million. Regarding operating profit, that included €250 million in nonrecurring income to do with the capital gains of disposals and mobile and FTTH infrastructure. Gross CapEx stood at €1.2 billion, as expected, and free cash flow was €188 million, up €131 million, so Bouygues Telecom is in a good position to reach its objective of €300 million in free cash flow by 2019. This is something we announced as early as 2015. What are the strategic dimensions of our approach? Well, we want to differentiate our offer with better customer experience. We have reliable networks. We want to boost regional development by bridging the digital divide and developing our B2B business. So how to improve customer experience? Well, as part of our strategy, what we proposed to do at Bouygues Telecom is to stand out from the competition with as many as 200 projects. We started to improve our customer experience and meet customer expectations more rapidly. There are many areas that have shown up where there is room for improvement to improve customer experience. That includes the promise of having Internet no matter what, with what we call the 4G boxes that can't make up for the lack of network, or we extend the working hours so that customers can call at -- later in the day to talk to someone. We want to be able to improve that experience. We have by 2023 as many as 28,000 radio sites, and as I said, we have 12 million FTTH premises marketed by 2019, so 20 million by 2022. So we'll have all these transmitters to cover even remote areas, and we've been recognized as the #1 network in rural areas and #2 on average, in France, according to the latest ARCEP survey that was conducted in October 2018. Now we want to step up our B2B business. We propose to broaden our market share in companies. Well, we only have 3% as we speak, so for the fixed business, so that means there's a huge potential. We're looking here at market, which is now -- which only has two main players. We propose to improve our presence -- well, to capitalize on our presence in mobile to extend our reach in fixed. We provide equipment to 1 company in 3 on the conquerant, and 3% of medium-sized companies and -- so we can develop that business. We have partnerships to look at various areas related to B2B telecom in security, digital and cloud computing. We also have developed what is known as fiber to the office, FTTO, for both mobile -- for the fixed business in SMEs, and we have -- well, we have acquired Keyyo to do just that, but we acquired Nerim this morning, you may have heard in the news. So for this to happen, we have a dedicated structure, a 1,300 people working because they -- B2B universe is rather different than the general public universe. You need lots of more customized approaches, which is not the case for general public. You need to have distributors. These are specialized people who can sell specific technical solutions. We have an international alliance with Telefonica to, again, reach out to major international accounts because Bouygues Telecom is only present in France, and that means that we have a higher satisfaction rate amongst our customers for small and medium-sized companies. In the big companies, the NPS score is much better than that of our competitors according to the latest survey conducted -- the INOV [ph] survey that was conducted in October 2018. Now Philippe Marien has the floor for the financials.
Philippe Marien: [Foreign Language] Good morning, ladies and gentlemen. Just a few words I'd like to add on our financial statements. Sales up 8%, reported up 8% largely due to the acquisitions we made in 2018 because on a like-for-like basis, growth was actually 3%. Current operating profit at €1.511 billion is up €105 million by comparison in 2017. Now this figure includes a major transaction at the end of the year, namely the sale of the 49% of -- 49% in the share capital of Axione to Mirova. These had two consequences: a capital gain on the sale of the shares themselves and a reappraisal or remeasurement of the remaining 51% that we have retained in Axione given the valuation of this disposal. In 2017, we had a similar transaction with Nextdoor. Nextdoor is the subsidiary owned by Bouygues Immobilier in coworkings. As I said earlier on, if you restate the figures for these 2 transactions, one in '17, one in '18, our current operating profit actually rose €27 million. And this was because of the fact that the last quarter of 2018 was more satisfactory from the operational point of view than we expected at the end of Q3. We announced to the market that given the difficulties we had with the 3 projects at Bouygues Energies & Services and at Colas Rail, that we expected our current operating profit to be stable or fractionally down. In actual fact, current operating profit rose independently of these 2 disposals. Other operating income and profit, €265 million. Now this mainly includes the €250 million capital gain at Bouygues Telecom, current gain on the sale of mobile sites in the framework of its agreement with Cellnex. So operating profit up €257 million. Cost of net debt slightly lower than last year, which has an impact on -- well, financial income is fractionally higher and financial expenses is fractionally lower. Income tax was up to €427 million due to the improved operating profit, of course, which gives us an effective rate of tax of 27%. Now if we restate that rate of income tax for Axione which had a very low rate of taxation and apply it to the outstanding equity stake team, effective rate of tax will be 29%, which is very close to a normative level of taxation. Share of net profit of joint ventures and associates, €303 million, mainly Alstom's contribution of €230 million, a figure that we already knew at September 30 because our share in Alstom is known from the moment Alstom publishes its result and always at the end of March and end of September. So nothing new since the start of Q4. Overall, net profit up substantially at €1,311,000,000. Now restated for all exceptional items, noncurrent operating items, capital gains on disposals, the Axione transaction in 2018, and if we can then compare and also restating for the transaction in 2017, you will see that the group's -- net profit attributable to the group is actually up €139 million, which is in line with what we announced at the start of the year because in early 2018, we told the market that our goal for 2018 was to improve the group's results, which we have achieved despite the difficulties announced in the third quarter. This brings me to the balance sheet. Now obviously, acquisitions have had a major impact on the balance sheet. Miller McAsphalt at Colas, Alpiq Engineering and of course, Aufeminin, in the case of TF1. Noncurrent assets rose by over €1.8 billion, you've -- and that property plant equipment rose €774 million of which €400 million were due to the -- in terms of a fixed assets at Bouygues Telecom, this is the investment we've made in the networks, both mobile and fixed, by the way. The remainder, the €317 million outstanding being due to the booking of fixed assets at Miller McAsphalt, Alpiq and Aufeminin allocated in the Bouygues accounts. Likewise, with goodwill, which rose quite substantially by over €900 million. That includes, of course, the 3 acquisitions, which led to this acquisition. There's increase in goodwill. €562 million in the case of Alpiq, €90 million in the case of Miller McAsphalt, and around €200 million in respect of Aufeminin joining TF1. Investment in joint ventures and associates rose by €131 million of which over half, €76 million to be more precise, are because of the Axione transaction. Axione was a wholly-owned subsidiary of Bouygues Construction, so fully integrated. The disposal of a 49% equity stake with a shareholder impact, whereby, we are jointly managing with Mirova. So even though we have a 51% stake in Axione, it's no longer fully integrated. It is consolidated by the equity method, so these assets are now further down the balance sheet in fixed assets -- under from fixed assets, rather, to joint ventures and associates, so a -- the considerable impact of these three major acquisitions on non-current assets. This brings me to current assets. The net is down, but there are two country trends here. Current operating assets rose by over €1.1 billion. This is because of the inclusion of certain acquisitions in our book of consolidation and of course, cash on the country has decreased by almost €1.9 billion. This is because of the acquisitions carried out during the period in particular. Third impact on the balance sheet this year. We're not talking about acquisitions this time but about disposals. €332 million in assets and operations held-for-sale. These are the Smac assets, Smac being the Colas [titans] entity that we decided to sell before the end of last year. Now you would have read last week that the sale has been agreed, it's been signed, and this business will be closed out -- or the deal will be closed out in the next few weeks. But all these Smac assets are now carried for 2018 under assets held-for-sale. The €38 million back in 2017 were the remainder of the mobile sites not yet sold to Cellnex. They have since been sold in the course of 2018. Shareholder's equity anchored the variations are -- could be called customary. Over that period, there's a net profit of €1.45 billion, which increases the shareholders' equity, dividends paid by Bouygues to minorities at Colas, TF1 at Bouygues Telecom for a total decrease of shareholder's equity by €712 million. A couple of transactions increase shareholder's equity by €169 million. This was the employee share ownership program that we launched for €150 million in late 2018, and the exercising of stock options over the 2018 financial period. These are 3 conventional items under shareholder's equity. To less usual items are, on the one hand, the non-negligible impact that we knew about in September. You will be surprised the non-negligible impact of applying two new IFRS standards on Alstom, IFRS 9 and IFRS 15. The biggest impact being that of IFRS 15, which changes the way revenue is recognized at Alstom. Up to now, Alstom recognized its revenue on the basis of milestones or key events regarding the completion of its work, but under IFRS 15, Alstom now needs to change the way it books revenue. It's based on advances on sales. Because of this, because of IFRS 15, Alstom was somewhat ahead of the new system, but this now has to adjust that figure. This, of course, has a €152 million negative impact on shareholder's equity at Bouygues. But this is something we already told you about at September 30. On the other hand, there's another impact on shareholder's equity at aufeminin [ph] this time to get them to buy out non-controlling interest. Non-current liabilities includes non-current debt. This is long term debt, which is down €711 million, but it's down €711 million because, first of all, we have reclassified our bond -- €1 billion bond in October last year, which is no longer under our current liabilities but under non-current. Secondly, there's a fact that TF1 -- in the quarter of 2018, TF1 bought out the minorities in Newen. This amounted to €100 million at the end of 2017, so again, a €100 million decrease on 2018. However, a €400 million increase in long term debt at Colas. This was because of the acquisition of Miller McAsphalt. Now liabilities related to assets held-for-sale. This is Smac for a total of €325 million. All this leaves us with net debt of €3.657 billion. I now propose that we look at how this debt varied over the 2018 financial period. Our net debt was €1.9 billion at year-end 2017. Since then, we have made acquisitions for a total of approximately €1.5 billion. The 3 big ones being Miller McAsphalt, Alpiq and Aufeminin. With Aufeminin, a number of small acquisition including Doctissimo more recently, but capital transactions for €162 million. This is the cash counterpart of Bouygues Confluences as the employee share ownership scheme and the exercising of stock options over the period. Dividends paid out, €712 million, which we talked about under shareholder's equity. The final installment of frequency acquisitions, that's a 700 megahertz frequencies for €117 million, and operations generated €440 million in cash. That is an increase of €110 million over operations in 2017. Looking now at how this cash was generated. The breakdown is -- our net cash flow was up by €200 billion to €2.488 billion, driven largely by improved cash flow at Bouygues Telecom. CapEx for almost €1.6 billion, up €151 million over 2017, and I'll elaborate on that in a few seconds. And the change in working capital requirements and other -- which used up €475 million in cash. We actually consumed less cash than we did in 2017. All of this enabling us to improve our operating cash flow by €110 million compared with 2017. I said I'd elaborate on CapEx. Here's the breakdown by business line. Most of the increase in 2018 was Bouygues Construction for -- the construction business, rather, almost €500 million. Reconstruction almost €200 million in line with what we told you early in 2018. Gross CapEx of slightly over €1.2 billion, very much in line with what we announced. In construction. To set the movements here, reconstruction is really the reflection of the phasing in of the major contracts. Most of the investment at Bouygues Construction was -- what causes variations are the major equipment, idle equipment for large projects but at -- because of Colas high, there was also a turnaround of the business, which was partly due to the decrease in freight business and the disposal of a number of locomotives by Colas Rail, which substantially reduced net CapEx. One final technical point for a change, but one I need to explain, too because from January 1 of this year, we are obliged to apply IFRS 16, which is the IFRS standard on lease obligations. It means that leases actually increase assets on the balance sheet while creating debt, so it increased assets, but it also increases liabilities. And on the income statement, it converts rent into amortization plus financial expense. Now, as this is coming into force since the 1st of January 2019, all year, we'll be presenting with accounts that apply IFRS 16. You'll find -- in the attachments, you'll find that the accounts that we have on the website, we'll be giving you this breakdown quarter by quarter, which will enable you to compare 2018 with 2019 on a comparable basis. So you'll that our EBITDA increased by €367 million, almost by a miracle because rent is no longer considered a cash out, certainly not by the powers that be, so our EBITDA mechanically increased by €367 million, which is the amortization of rent or the amount of rent that is amortized. Conversely, current operating profit will increase by €53 million, which actually corresponds to financial expense because the financial expense on leases will now be carried under financial income and expenses, which will -- €53 million more. Operating profit, exactly the same, plus €53 million. The cost of net debt will increase by €57 million. The financial expense on leases will actually be carried under the cost of net debt, and net debt itself will remain virtually unchanged giving a few small restatements, the type of amortization and the share of amortization on leases. There's only a very tiny adjustment that needs to be made here. Finally, our net debt will increase by €1.6 billion, which is the -- it corresponds to the current value of the assets that we are leasing. I have to give you a better grasp of IFRS 16. You may say, well, I don't understand why. When we adjust for the impact of IFRS 16, we are adjusting by €1.591 billion, but when we do the opposite, when we neutralize the impact of IFRS 16 in the accounts for 2018, the impact is €1.636 billion, not the same figure. Well, the impacts are different because before applying IFRS 16, financial lease was already included in debt -- financial leases were already included in debt. So the new impact of the IFRS 16 is €1.591 billion, but the total impact of IFRS 16, which is all leases, is actually over €1.6 billion because we already included this in our previous accounts. Let me reassure you straight away, and so far as all these figures are totally meaningless to us because a lease involves money being paid out no matter what you want to call it. We will continue to publish all our subtotals and totals on two lines, so before application of IFRS 16 and after application of IFRS 16, which means we'll be in compliance with accounting standards and principles, but also report accounts that make sense, particularly as regards to cash outs. Martin Bouygues will talk to you about this when he talks about the outlook, but from our point of view, the free cash flow generation is essential and in generating free cash flow, while a lease means money leaving the company. That's it. That's what I can say about the accounts as of September 30 -- or December 31, 2018 and the application of IFRS 16 from this year onwards. A few words about the outlook for 2019.
Martin Bouygues: Thank you, Philippe. I propose to wrap up by saying a few words about our prospects. Well, the group's activities are really marked by 4 major trends that we are concerned about. There are many others, I'm afraid. The first of these major trends is the population growth; second is urbanization and climate change, too; digital transformation and changing behavior. That's the world -- the underlying trends of the world in which we operate. This is our playing field, if you like. For our businesses, these underlying trends lead to strong worldwide demand for increasingly complex projects, more integrated offers, more and more requirements in terms of maintenance, particularly in construction. This has also led to significant appetite for premium and exclusive video content, which can be converted to value through data analysis and of course, there's a -- fixed and mobile usages are soaring in B2C and B2B. So we will try to take up these challenges and ensure that we take advantage of upside potential in the long term. In this broader context, we are expanding into more strategic, more value-creating activities close to our core businesses through organic growth, of course. From time to time, as we have said, in the form of acquisitions as Olivier told you earlier this morning. In construction, we plan to expand in higher value-added business such as urban development, eco-neighborhoods, smart cities, energy and services; industrial activities, such as aggregates and bitumen or smart roads. And you know that Colas has done a lot of work in the field of smart roads. In telecoms, we plan to continue to expand in fiber, fiber-to-the-home and B2B. And of course, focus on digital and content production distribution and media, thanks to partnerships like Mirova. We -- as I said, we'll reinforce our presence in digital and of course, continue to produce and distribute content. At the same time, we are disposing of less strategic assets as illustrated by the disposal of Smac from Colas or the disposal of TF1's tele-shopping. Now to shore up this strategy, we are anchored around 2 pillars. The first of this is the know-how, the expertise of our 129,000 employees. As you know, because of the type of business we're in, our human resources are our main resource. Their know-how and their commitment, their involvement are, I think, a prerequisite if we are to succeed. I'm very happy to be able to tell you that for the second year running, Bouygues has been voted the Top Employer for all its businesses, the only group in France to have received this certification for all its subsidiaries. And the second pillar shoring up our -- anchoring our growth is our portfolio of innovative solutions, socially and environmentally responsible solutions. So Bouygues is ranked in the main sustainable development indices as you could see on the right-hand side of the slide. And I think that's very important in this day and age. Now in 2019, the group was included on the Carbon Disclosure Project list, which distinguishes the most active companies in fighting against climate change. This year, over 6,000 companies and groups worldwide answered this questionnaire from the CDP. Only 126 out of 6,000 were classified in Group A. We were one of those. This, I think, really crowns our low carbon strategy, energy and climate strategy as well. Now given this -- given all of these, in 2019, the group should improve its profitability, and Bouygues Telecom should generate €300 million in free cash flow. You will remember that's a guidance that we've already mentioned before. Within 2 years, the group should improve its free cash flow generation after the working capital requirement to reach €1 billion, thanks to the contribution of all three sectors of activity. May I remind you, one of our main objectives is to create value and generate free cash flow over the long term and consistently, so we feel it's relevant to set ourselves a goal for the group. And that brings me to the end of this presentation. Along with the heads of the various business segments, I'll be very happy to try and answer your questions. Thank you.
Operator:
A - Unidentified Company Representative: [Foreign Language]
Josep Pujal: [Foreign Language] Thank you. Josep Pujal from Kepler Cheuvreux. Two questions. Number one, on your guidance, €1 billion in free cash flow in 2 years time. What working capital requirement - what changed in capital - working capital requirement do you see for that to happen, and what about CapEx in telecom? And another question about Bouygues Energies & Services, BYES. Is -- has this business been identified as a promising business where further investment is planned or is it -- was that specifically -- well, was Alpiq an opportunistic operation, a one-off thing? But in any case, can you give us an idea, an order of magnitude for the company in 3 or 5 years' time? And then another question, still about BYES, what's the profit margin today? And what is the -- what's the sort of number you'd have in mind in the medium term?
Martin Bouygues: So regarding BYES, we would not have acquired Alpiq had we not believed in the future of this business. What it is, is that, Bouygues Energies & Services, to my mind, has huge growth potential and can offer huge growth opportunities for profit margins in the construction business. There is room for improvement in terms of organization in choosing market areas, both in terms of business and profitability. In terms of the expected margin, a normative margin as you say, I cannot give you numbers. But if you benchmark against other similar companies in France and Europe, there's no reason why we shouldn't be able to do better as well. Regarding capital requirements -- working capital requirements and the €1 billion of free cash flow figure, Philippe Marien will give you details.
Philippe Marien: Now it says €1 billion in -- of free cash flow after WCR. It is based on this. In 2019, we're looking at capital expenditures to the tune of €1.8 billion in 2019, so more than what we did in 2018 where it stood at €1.6 billion. At Bouygues Telecom, we're looking at slightly less by way of capital expenditures. As we said last year, we will be sticking to that. We're looking at slightly under €1 billion in CapEx for Bouygues Telecom. By contrast, there will be higher CapEx, both in the construction business. Colas had lower CapEx this year because -- well, net CapEx because it disposed of significant equipment, but that won't happen again. In Newen, we might increase CapEx at Newen, but the -- you will see that higher CapEx in Newen means higher EBITDA as well, so €1.8 billion in capital expenditure, and the way -- the change in WCR, well, we want to make that as good as possible to make that €1 billion mark. I mean, because that's after WCR.
Unidentified Analyst: Nicolas [indiscernible] from HSBC. I have two questions on Bouygues Telecom. On the size effect in fixed lines, we're looking at 4 million subscribers in cost -- in due of the variable cost in co-investment. Why do you believe that it is preferable to have higher volumes rather than reduce discounts to ensure growth? And in terms of production, there's a new management team. Will this entail new costs related to the central functions, and does this mean you will be more selective in terms of construction projects?
Martin Bouygues: Now regarding the construction projects, there's no major change in line. We are constantly trying to adjust and make the right move, but it's true for all 3 business areas. It's been going on for the past 67 years. We're constantly adjusting. Let me remind you that the group has been around for 67 years. For the past 67 years, we've been constantly adjusting our structures and organizations just to arrive at the best possible results. By and large, we've done fairly well. But regarding Bouygues Telecom, Olivier Roussat will -- can we give the microphone? I think it's best since it's just the 3 of them sharing the microphone, they might leave it amongst themselves.
Olivier Roussat: Olivier Roussat. As Martin was speaking, I forgot the question, so I had to ask my colleagues what the question was. Yes, you're talking about raise to -- we're trying to get as much volumes as possible. We did much less by way of promotion in Q4 than in previous years, too, so we were not trying to reach out to more volumes by offering discounts. We want to take our fair share. In terms of FTTH, they are a higher fixed cost, but that is our territory, and the higher the number of customers, the lower the unit pricing, so that means more profitability. But where we do not have is adequate customer basis. Well, that's where we decide to go for variable cost because that we can -- that is the only way for us to bring our costs down where we do not have a sizable customer base.
Martin Bouygues: Yes? No further questions? Surely? Yes, a question at the back of the room.
Unidentified Analyst: [Foreign Language] Yes. I'm from Garnier. I have a couple of questions. What do you have to say about Alstom after the failed merger with Siemens? You said that if the merger went ahead, Bouygues had no reason to remain a stakeholder in Alstom, but what's the view -- position now?\ On telecom now, there's lots of talk about Bouygues Telecom's growth in less dense areas. Where do you stand in terms of rolling out your equipment in these less dense areas? And in view of the growing role of B2B in Bouygues Telecom, do you have any ambitions in terms of growth, profitability, compared to what you have with B2C?
Martin Bouygues: Regarding Alstom, just like the rest of you, and many of you shared their concern, indeed, this May when they saw the European commission's position. I must say, I could not understand that position. I believe it is extremely strange. This is a sort of a lose-lose deal regardless of what happens in the next 20 years for both Alstom and Siemens. Of course, the European commission will -- well, will have to take responsibility. That's a bit odd. The idea is to make it more advantageous for European consumers, making -- putting the European consumer in the hands of a Chinese giant may not be the consumer's best interest, but I'm just a humble industrialist, and I do not claim to have the same wisdom as a commissioner in Brussels. Having said that, I would like to pay tribute to Henri Poupart-Lafarge, who is Alstom's CEO. He has done a remarkable job. You have to become aware of these surreal procedures. For 18 months running, you have -- there, you have a company in limbo. Its relations with customers is highly complicated because for 1.5 years, it's pretty difficult to convince your customers to go ahead and buy a product if you don't know what the future holds for that company down the road. Now for all the employees of the company, that was a period of very unpleasant uncertainty, and I would like to say that at Alstom, Henri Poupart-Lafarge and his aides were able to handle this quite remarkably, and as you know, Alstom's performance are quite remarkable. It's true for sales, the revenue, but it's also true in terms of financial performance, and if you look at Alstom's order book and backlog, we're looking at 5 years' worth of orders, so there's no concern, and there's no urgency. We are confident shareholders standing by Alstom's management. We have two representatives of Bouygues sitting on the board as Philippe Marien said earlier, so there's not much to add. But regarding Bouygues Telecom, Olivier Roussat will tell you more.
Olivier Roussat: Yes. Regarding the work that we have with the [Creussou] that enables us to be in rural areas, having rolled out that network, we see improved presence and growth because we are twice -- we're expanding twice as fast in these areas than in other areas. The reason for that is that we've opened new shops, thanks to Fnac because Fnac, the retail stores are opening our Bouygues Telecom stores in these areas. And we have also agreements to increase the points of sales so we are more present. Regarding B2B, we showed you in the slide that we are in a very small position. We only have 3% of the market for the fixed line business, which means we have huge potential because we only have 2 competitors, but we will not give you guidance. But in the absolute, yes, we can do better. Thank you.
Martin Bouygues: Thank you. Have we another question? The gentleman here.
Remi Adam: Remi Adam from ODDO. I'd like to come back to the B2B. Why do you figure accelerating now, particularly in B2B and with a market share of just 3%, could you give us some idea of what your ambitions are and what you're aiming at in terms of market share. In a market that's not very fluid, do you plan to acquire market share through acquisitions or is there enough room for organic growth?
Martin Bouygues: Well, in 2018, our growth wasn't in the form of acquisitions. We grew thanks to major input in mobiles, fixed and B2B. And I think Richard will say a few words about that.
Richard Viel: Bouygues Telecom's organic growth in B2B is significantly higher than Bouygues Telecom on average, so the B2B is posting the highest growth for simple reasons that Olivier and Martin both explained. And so far as our market share is very low, we have a lot of upside potential. Now when I say our market share is low, in Mobile, we can have 20% in B2B with three in fixed lines B2B. There's no reason why in fixed lines, and we shouldn't be close to the market share we have in mobile. That's the first point, but -- so a lot of positive outlook. Remember, the value in B2B is much higher than in mobile and fixed is much higher than mobile. Secondly, why are we accelerating now? Because certain number of companies may be small but are mature in their sectors, and I've come to realize that it is important to have fixed and it's important to have infrastructure to sell end-to-end solutions. We're in a very strong position. They can't go to Orange. The choice is between SFO and Bouygues, and I think recent statistics would have it that they prefer to join Bouygues Telecom because our prospects and rationale is one of growth and one of continuing with these companies.
Martin Bouygues: In B2B growth, the quality of the network is essential. As you would have seen, the quality of our network is particularly good. It has us very well positioned. And this is an essential criterion in our clients' eyes. Next question?
Nicolas Didio: Nicolas Didio [Berenberg] I have three questions. First, it concerns the flat OpEx outlay with CityFast. Could you give us some idea of what that total operating expenditure would be in the -- what is the full impact on EBITDA? Is it an exclusive agreement, by the way? My second concern is the operating leverage in telecom. We're not far from 100%. Could you give us some idea of what the main contributors to margin improvement will be? My third question concerns the operating margin in construction. After the blip in Q3, we finished the year at 2.9%. What is -- if not the deadline -- let's say, when do you expect to reach that margin guidance?
Martin Bouygues: Well, that's something we never disclose, so we're not going to change now. As for the rest, well, Olivier will answer you.
Olivier Roussat: In the case of CityFast, we don't give the amount of the agreement. It's not an exclusive agreement, by the way. CityFast is an operator that was set up by Mirova and Axione from whom we buy services, but they can also sell to other operators. However, we do not give any figures on this agreement.
Martin Bouygues: Okay. Well, if there are no more questions, maybe I could answer a question that you didn't ask me before wrapping up. What about consolidation in the market? Anybody mentioned that? Any takers? For an analysts like you, I mean, that could be of interest. Now I'd just like to say a word of that. It's something that may be of interest to some of you. We have not -- we're not in contact with anybody, and so far as if anything is to happen, it would at least lead to somebody contacting us. We haven't been in touch with anybody. That's for the record. That's a fact. Secondly, at some point in time this year, we will embark upon a period called a complete lockout. In other words, operators will not be authorized to talk to one another. In so far as frequency is -- should be attributed, the details of attribution have yet to be decided, but during that lockout period, well, there will be nothing happening. That's what I wanted to say. Thank you for coming. Thank you for being here, and I hope we will meet again very soon with very good news. Why not? Thank you.